Operator: Greetings and welcome to the CoreSite Realty Second Quarter 2018 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Greer Aviv. Please go ahead.
Greer Aviv: Thank you. Good morning, and welcome to CoreSite's second quarter 2018 earnings conference call. I'm joined here today by Paul Szurek, President and CEO; Steve Smith, Chief Revenue Officer; and Jeff Finnin, Chief Financial Officer. Before we begin, I would like to remind everyone that our remarks on today's call may include forward-looking statements as defined by Federal Securities Laws, including statements addressing projections, plans or future expectations. These statements are subject to a number of risks and uncertainties that could cause actual results or facts to differ materially from such statements for a variety of reasons. We assume no obligation to update these forward-looking statements and can give no assurance that the expectations will be obtained. Detailed information about these risks is included in our filings with the SEC. Also, on this conference call, we refer to certain non-GAAP financial measures, such as funds from operations. Reconciliations of these non-GAAP financial measures are available in the supplemental information that is part of the full earnings release, which can be accessed on the Investor Relations pages of our Web site at CoreSite.com. And now, I'll turn the call over to Paul.
Paul Szurek: Good morning and thank you for joining us today. We continue to execute well, achieving another quarter of strong growth with revenue, adjusted EBITDA, and FFO per share, each increasing 16% year-over-year. Regarding our strong internal growth, we had solid performance on substantially all measurements, including solid cash rent growth on renewals, low churn, and 8% year-over-year growth in same-store monthly recurring revenue per cabinet equivalent. Our sales activity generated $10.4 million net of annualized GAAP rent signed in new and expansion leases. Our core retail co-location business was solid, and we had a good quarter in scale co-location leasing. Healthy organic growth is represented by 90% of GAAP rent side coming from the expansion of existing customers. New customers looking to optimize their IT architecture who are embarked on a digital transformation drove the 28 new logos we signed in Q2. More importantly, we believe we continue to see an increase in the quality of new logos. The annualized GAAP rents signed by them in Q2 increased 13% compared to the trailing 12 month average, while the number of kilowatts licensed increased 10%. Hybrid cloud architectures appeared to be gaining traction because they permit scaling, expansion, cost efficiencies, and adoption of new technology products, including the constantly-growing menu of cloud based applications. We believe most companies today can deploy valuable innovative applications even globally from a single well-connected datacenter with the right customer ecosystem and direct connect facilities. Our network in cloud-connected datacenters together with our customer communities can help businesses with this kind of rapid scaling and innovation while also generally lowering their cost per data center capacity. Our facilities continue to benefit from businesses requiring low latency and robust performance to serve many consumers and enterprises in our very large edge markets. We remain optimistic about the demand trends we are seeing in these markets, and supply is generally in balance with demand. Our Q2 pricing realized reflects the relatively stable pricing in the markets and segments we compete in. We also continue to make solid progress on the building blocks for future growth. In Los Angeles, we commenced construction on 28,000 square feet datacenter capacity at LA2, which is 100% pre-leased. Following the expansion signed by one of our strategic customers of LA2, we have approximately 65,000 square feet of remaining capacity at this building. Overall, we believe demand remains stead in LA and continues to outpace supply in the downtown market. With these dynamics in mind, we recently renewed our existing space in LA1 and expanded it to an additional 17,000 square feet. Importantly, this renewal and expansion extended the term of our lease by seven years to 2029, and extended our control over our space at One Wilshire to 2044. As it relates to LA3, we continue to progress through the permitting process and expect to break ground in the last quarter of 2018. Please bear in mind that the timing is almost entirely determined here in Santa Clara and Chicago by the municipal permitting process. In Reston, we remain on track with our current phase of development at VA3 Phase 1B scheduled for Q1 2019 delivery. In Santa Clara, we commenced demolition of the existing building on the SC8 site earlier this month. We expect to deliver Phase 1 consisting of 58,000 square feet of datacenter capacity during the third quarter of 2019. In Denver, we delivered 15,600 square feet of capacity in DE1 or capacity in the downtown area remains constrained. We have seen good demand in Denver. Finally, we completed 18,000 square feet of additional capacity in NY2 in Chicago. In summary, we are pleased with the quarter and we are grateful for the colleagues who drive our success. I remain optimistic about our future opportunity, reflecting our solid position in great markets with large numbers of dynamic enterprises, large populations of consumers of content, numerous sophisticated customers of cloud, analytics, and similar data products, and a good pipeline of capacity growth for the intermediate term. With that, I will turn the call over to Steve.
Steve Smith: Thanks, Paul. Our new and expansion leasing activity was again driven by our core retail co-location group, which accounted for approximately 95% of leases signed in the quarter. We also had a good quarter in the scale co-location category, including a sizable expansion of existing enterprise customer. In total, we executed 143 new and expansion leases, totaling $10.4 million in net annualized GAAP rent, comprised of 65,000 net rentable square feet at an average GAAP rate of $178 per square foot, offset by near-term reduction in reservation fees. As it relates to portfolio wide pricing, on a per kilowatt basis, Q2 new and expansion pricing was approximately 3% above the trailing 12-month average, with variation by market similar to what we saw in Q1. We continue to focus on attracting high-quality new logos to our portfolio, signing 28 this quarter, which accounted for 10% of net annualized GAAP rent signed. Our well-established campuses are cloud-enabled networked datacenters continue to be a magnet for enterprises, with this vertical representing 65% of annualized GAAP rents signed from new logos. Among our new enterprise logos, our next generation networking technologies company [indiscernible] solutions. We also signed two large West Coast based health and social services agencies, Lifelong Medical and the [technical difficulty]. In the education vertical, we signed St. Johns University and Udemy, a leading online college level learning platform. Further, we had five IT solutions and services companies joining our ecosystem, including Lighthouse [ph], a Fortune 500 information technology, engineering, and science solutions provider. Our strong organic growth reflects the continued expansion of existing customers across our portfolio, which accounted for 90% of annualized GAAP rents on Q2, including enterprise customer that expanded its corporate with us in Los Angeles, discussed earlier. In Denver, we also signed an expansion with a large social media company, who will be deploying its peering exchange serving in the Rocky Mountain region with us. Turning now to our vertical mix, networking cloud customers accounted for 17% and 19% of annualized GAAP rents signed respectively. The network vertical had a very strong quarter with a high overall transaction count and six new logos signed, including Pilot Fiber, an Internet service provider that will deploy with us in four markets to support its growing footprint. We signed six new deployments from international networks, reflecting the continued strength and value of our ecosystem, with two of those international providers deploying at our Reston campus. Additionally, one of the world's largest telecom companies selected CorSite in Virginia and Denver for significant deployment over its corporate infrastructure directly linking it to our cloud on rents, improving its performance as it moves to a hybrid cloud architecture for its internal IT needs. The cloud vertical continued to perform well, adding four new logos, including cybersecurity and intelligence provider. Additionally, a large data based cloud and content provider expanded its footprint in Santa Clara to support the growth of one of its existing customers. Our enterprise vertical accounted for 64% of annualized GAAP rents signed, driven by a Fortune 500 customer that exercised its expansion option in anticipation of demand for its cloud platform in Los Angeles. In addition, several other existing customers expanded, including the new deployment with one of the fastest-growing demand side platforms in digital advertising, which shows CoreSite's first production environment and data analytics platform due to the ability to achieve scalability, high density and performance. From a geographic perspective, our strongest markets in terms of annualized GAAP rents signed in new and expansion leases were Los Angeles, Silicon Valley, Northern Virginia, and New York, New Jersey, collectively representing 89% of annualized GAAP rents signed. Leasing on the Bay area was weighted towards expansion of existing customers in terms of verticals, cloud customers, leasing activity including a new logo in Prismo Systems, which is a local provider of software for enterprise digital security operations. New enterprise deployments included the signing by Stamps.com. Demand in Los Angeles was solid, with strength in the enterprise vertical, followed by network and cloud deployments. New logo activity was well-distributed among the verticals, and includes a network from LiveCom Limited, a Chinese provider of satellite-based voice services. In Northern Virginia, leasing was driven by the network vertical with deployments across all of our buildings in the market, and two networks deposited VA3 Phase 1A. Lastly, in New York New Jersey, demand continue to by led by enterprise customers, including four new logos; healthcare and media/gaming remain the primary demand drivers in this market along with financial services. In addition, a leading public power provider expanded its footprint at NY1. In summary, we are pleased with Q2 sales. Going forward, we will continue to focus on generating profitable organic growth, attracting high-quality new logos to our portfolio, and delivering incremental value to our customers as we grow our ecosystem and footprint. I will now turn the call over to Jeff.
Jeff Finnin: Thanks, Steve, and hello everyone. Our Q2 financial performance resulted in total operating revenues of $136.4 million, a 5.3% increase on a sequential quarter basis, and a 15.7% increase year-over-year. Datacenter revenue consisting of rental revenue, power revenue, and tenant reimbursements contributed $116.1 million to operating revenues, an increase of 5.6% on the sequential quarter basis and 16.6% year-over-year. Interconnection services contributed $17.4 million to operating revenues, an increase of 5.2% on a sequential quarter basis, and 13.7% year-over-year. Excluding U.S. Colo interconnection revenue, Q2 interconnection revenue grew 3.5% sequentially and 11.8% year-over-year. Turning to FFO; we reported $1.28 per diluted share in unit, up 0.8% on a sequential quarter basis and 16.4% year-over-year. As you think about sequential FFO growth in Q3, there are a few moving pieces to keep in mind as it relates to your models. First, in Q3 we usually have seasonally higher power cost, amounting to approximately $0.01 to $0.02 per share. Second, as a result of the renewal and expansion of our lease at LA1, we expect an increase of approximately a penny per share in our rent expense. And third, we anticipate increases in our property taxes of about a penny per share. AFFO declined 0.5% sequentially, primarily due to higher interest expense and capitalized leasing commissions, reflecting an increased mix of scale, co-location leasing in Q2. On a year-over-year basis, AFFO increased 30.5% reflecting the growth in the operating portfolio and lower levels of recurring capital expenditures. Adjusted EBITDA of $74.9 million increased 2.7% sequentially and 15.5% year-over-year. Our adjusted EBITDA margin for the trailing 12 months ended Q2 2018 was 54.7%, and remains in line with our expectations and our guidance for the full-year. Sales and marketing expenses totaled $5.4 million or 3.9% of total operating revenues, up 20 basis points year-over-year. General and administration expenses were $10.3 million or 7.5% of total operating revenues, down 60 basis points year-over-year. Both amounts are in line as a percent of revenue to our expectations for the full-year. Q2 same-store turnkey datacenter occupancy increased 430 basis points to 89.9% from 85.6% in the second quarter of 2017. Sequentially same-store turnkey datacenter occupancy increased 80 basis points. Additionally, same-store monthly recurring revenue per cabinet equivalent increased 1.7% sequentially, and 8.3% year-over-year to $1,483. We renewed approximately 140,000 total square feet at an annualized GAAP rate of $137 per square foot. Our renewed pricing reflects mark-to-market growth of 2.8% on a cash basis and 5.7% on a GAAP basis. Year-to-date, our cash mark-to-market growth of 4.2% is in line with our guidance for the full-year. Churn was 1.3% and we continue to expect churn for the year to be in the 6% to 8% range. As you may recall, within our annual churn guidance, we expected a 200 basis points impact related to a specific customer move out in Q4. With increased visibility related to this specific customer, we now expect approximately 70 basis points of churn in Q3 with the remainder in Q4. We commenced 34,000 net rentable square feet of new and expansion leases at an annualized GAAP rent of $192 per square foot, which represents $6.5 million of annualized GAAP rent. Turning to backlog, projected annualized GAAP rent from signed but not yet commenced leases was $9.9 million at June 30, 2018. On a cash basis, our backlog was $20.9 million. We expect approximately 42% of the GAAP backlog to commence during the second-half of 2018, with the remainder expected to commence during the first-half of 2019. We ended the quarter with our stabilized datacenter occupancy at 93%, a decrease of 40 basis points compared to the prior quarter, primarily due to two computer rooms moving from the pre-stabilized pool to the stabilized pool. We have a total of 161,000 square feet of datacenter capacity and various stages of development across the portfolio. At the end of the second quarter, we had invested $56.3 million of the estimated $274.4 million required for these projects. Those buildings also include space for quick future construction of an additional 167,000 square feet of datacenter capacity. Turning to our balance sheet, our ratio of net principal debt to Q2 annualized adjusted EBITDA was 3.5 times, in line with the prior quarter. As of the end of the second quarter, we had $336 million of total liquidity consisting of available cash and capacity on our revolving credit facility. In closing, I would like to address our updated guidance for 2018. I would remind you that our guidance reflects our current view of supply and demand dynamics in our markets as well as the health of the broader economy. We do not factor in changes in our portfolio resulting from acquisitions, dispositions or capital markets activity other than what we have discussed today. As detailed on page 23 of our Q2 earnings supplemental, our guidance updated for 2018 is as follows: total operating revenue is now estimated to be $537 million to $547 million compared to the previous range of $535 million to $545 million. Based on our year-to-date commencements of $22.7 million and our expectation for timing of commencements in our backlog, we now expect commencements for the full-year to be closer to $36 million to $38 million in annualized GAAP rent, compared to our original guidance of $40 million. As Paul mentioned, keep in mind that the timing of future construction deliveries and related leasing is driven in large part by each locality's permitting process. While the lower level of commencements should not have a material impact on 2018 earnings, realization of incremental revenue in 2019 will depend on the timing of permitting and subsequent completion dates for SV8, LA3, and CH2. So far the municipal approval processes are tracking at the slower end of our estimates. Adjusted EBITDA is now estimated to be $293 million to $298 million, an increase of $2 million based on the midpoint of current and previous guidance. FFO is estimated to be $5 to $5.08 per share in OP unit. This midpoint of $5.04 per share represents an increase of $0.06 per share or 1.2% from the previous guidance. The increase in our FFO guidance also reflects lower than expected interest expense as a result of better-than-anticipated execution on the debt financing transactions completed in April. As it relates to our guidance for capital expenditures, we are increasing the total expected investment to a range of $280 million to $310 million, from the previous range of $250 million to $300 million. The increase is related to our outlook for datacenter expansion primarily related to commencement of construction at SV8 and LA2, which we now expect to be $258 million to $273 million compared to the prior range of $228 million to $253 million. Now, we'd like to open the call to questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Jordan Sadler with KeyBanc Capital Markets. Please go ahead.
Jordan Sadler: Thank you. Good morning. I wanted to first just clarify something, Jeff, if you could, in the guidance. Can you help me understand just the difference between the upward adjustment in the operating revenues in the context of the downward adjustment in the commencements?
Jeff Finnin: You bet. Really, Jordan, it's the increase in revenues is really attributable to two things. And that's really related to the timing of the commencements, and it's also related to the product mix, predominantly power. So as you think about commencements, even though we've taken them down slightly for the full-year, the first-half we experienced slightly higher than what we anticipated in terms of those commencements, so it led to higher revenue that we're expecting for the rest of the year. And then in terms of the profitability of the dollars, our product mix also helped contribute to most of that increase in revenue basically flowing down through adjusted EBITDA and to FFO. And then the other item that I mentioned in my prepared remarks really relates to just interest expense, which is we're doing better than what we anticipated in our original guidance. So those are really the three pieces that drive the $0.06 increase, but the revenue is really driven by timing of commencements and the product mix.
Jordan Sadler: Okay. And then in terms of product mix, is it -- it sounds like you mentioned power revenues. You saw a greater mix of breakered-amp type requirements or…
Jeff Finnin: That's exactly right. A greater proportion of the breakered product model than what we had anticipated.
Jordan Sadler: And can you expand on that a little bit. It was sort of an area of questioning I was curious about in terms of what you're seeing. Maybe that's better for Steve, trend-wise in terms of customer requirements. Are they -- it seems like they're still receptive, obviously to the breakered-amp product, but are you seeing more pushback and are more people looking for metered power solutions today or no?
Jeff Finnin: Let me just give you what the numbers are telling us historically and then Steve can give you a little commentary in terms of what the customers are seeing and saying. But if you just look at our product mix of power revenue today, that composition equals -- about 55% is on our breakered model and about 45% on our metered model. And that's been fairly consistent over the past several quarters. And so to date, we haven't seen a significant degradation of that breakered power model, but Steve can give you some commentary related to the conversations with customers.
Steve Smith: Yes, sure, thanks, Jeff. Hey, Jordan. Yes. As it relates to the overall mix and the, I guess, adoption of the breakered model, the core retail co-location space is a big focus for us. So it has been and we talked about that in the prepared remarks as well. And the bulk of those customers are typically buying at the size level and in the markets and the buildings where breakered is the predominant product that those customers are buying. It gives them better predictability around their costs and also gives us a better view into how we distribute power across the buildings. So overall, that's -- I think, just speaks to the health of our business in that core area of retail collocation and those hybrid type of deployments that we're seeing from those enterprise customers.
Jordan Sadler: Okay. And then Steve, lastly, while I have you, yes, I was curious -- Jeff talked about, I guess, the pace of permitting and titling, or maybe you know planning, moving a little bit slower on some of the builds. I'm kind of curious if that is at all affecting your ability on the pre-leasing side or basically, you know, what you're seeing on that -- on the pipeline for people who are interested in a possible pre-lease for some of those developments?
Steve Smith: Well from a overall pipeline perspective, if the pipeline continues to be healthy and you know, as you look at just the overall data growth in the market in general and just technology adoption, the pipeline does remain healthy. I think that the pre-leasing window is probably shorter than it's been historically, because there's more inventory that's available on the market. But at the same time you still see a healthy amount of pipeline that we feel like can time out well with when those commencements happen. So overall, it doesn't seem to be impacting us overall.
Paul Szurek: Jordan, I just would add -- this is Paul. We are still in the window of expectations for receiving permits that we signaled previously, just at the slower end of that and that's 100% reflected on the fact that we're building an infill market much stricter permitting processes, generally understaffed government agencies. In the long-term that creates a lot of the value in these markets, but it does make the short-term permitting harder to predict.
Jordan Sadler: Okay. Thank you.
Paul Szurek: Thanks, Jordan.
Operator: Our next question comes from Robert Gutman with Guggenheim Securities. Please go ahead.
Robert Gutman: Yes, thanks for taking the question. So it seems like the smaller footprint leasing under a 1,000 was accelerated a bit off of last quarter. Just wondering, you seeing any -- you know, what's underlying that in terms of market demand last quarter versus this quarter in that category? And was the scale stuff, did you say it was driven by one customer in particular, the rise there to $4.6 million from $2.6 million last quarter?
Paul Szurek: Yes, I'll just speak to the overall demand aspects of the less than 1,000 square feet there first, I guess. I wouldn't say that I've seen any major shifts in that space, in that market. As I mentioned earlier, it's a continued focus for the company, our marketing team and our overall sales team to try to bring in those customers, the majority of which are enterprises that are looking to deploy and take advantage of the many networks and cloud on-ramps that we have in our datacenters. So overall, I'd say the trend is positive as more enterprises continue to adopt collocation in hybrid type of environments. But I wouldn't point to anything that says that anything dramatic has changed. As it relates to the larger scale leases, Jeff has probably more detail on the numbers there, but…
Jeff Finnin: Yes. Yes, Rob, it was driven by -- there's a handful of customers in that second bucket and obviously one was a little bit on the larger side, but without going into any specifics around customer individual customer is about what we can tell you to.
Robert Gutman: Okay, great. Thanks.
Paul Szurek: You bet.
Operator: Our next question comes from Colby Synesael with Cowen. Please go ahead.
Colby Synesael: Great, thank you. The revenue per cabinet up I think it was up 8% pretty strong growth there just wondering if there's anything worth calling out in the sustainability of that going forward. And also just more broadly, Paul, just curious if you can give us your current thinking on the importance of market expansion having a global footprint, how that may or may not have changed in terms of your thinking over the last I guess since beginning of the year. Thanks.
Paul Szurek: Colby, let me address your first question really when you look at that MRR per cabi growth, what we saw this quarter is very consistent with what we've seen in the past several quarters which is the interconnection revenue in the power revenue are really driving the majority of that increase, So for instance interconnection revenue in our same-store on a per cabi basis was up 10% and power was up 13%. Overall contributing to the 8.3% increase we saw year-over-year and as we look at the second-half of the year I would tell you that we would anticipate that MRR per cabi growth to be at the mid to higher single digits consistent with what we saw the first two quarters of 2018 to give you some idea of what we expect.
Steve Smith: And then, Colby, expanding to new markets would be a nice to have not a need to have we have plenty of opportunity in the markets where we are and frankly building out the campuses in the scale, in the customer ecosystems is a really good way to drive value both for customers and for shareholders. We do continue to look at other markets. If we -- where we can enter and follow our existing business model. Internationally our views have not changed on that over the course of the year, we continue to have very good traction with non-U.S. customers attracted to our campus communities and increasing amount of our customers both new and old who are able to go international via other mechanisms than been established in their own data centers in other places. Cloud, content, delivery and things like that so I think we provide a very good service to those customers by making it easier for them to do that within our data centers that have all the companies in the utilities they need in order to do that.
Colby Synesael: Okay, thank you.
Paul Szurek: Thanks, Colby.
Operator: Our next question comes from Frank Louthan with Raymond James. Please go ahead.
Frank Louthan: Great, thank you. I want to dig into what factors inflation may be having in its potential impact on development yields what are you seeing your posts are in raw materials and labor and your outlook, you believe it kind of pass it along you did see that play into the increase CapEx for SB8 LA2? Thanks.
Paul Szurek: Not really LA2, a little bit in SB8 labor costs in the North California market are have increased materials costs have increased a bit, I'm sure you all know what's going on in the background there. But with all that and as Steve mentioned in his prepared comments pricing continues to be pretty strong. We were actually 3% above our trailing 12 months average on a per kilowatt basis and so we still expect to achieve or exceed our targeted returns on investment that we've previously talked about, so yes you got to be you have to pay more attention to your development planning and design in cost Brian Warren and his team are doing a good job with that and we think everything will work out pretty well.
Frank Louthan: Okay, great. Thank you very much.
Operator: Our next question comes from Nick Del Deo with MoffettNathanson. Please go ahead.
Nick Del Deo: Hi, thanks for taking my questions. First, the guidance clarification for Jeff that you mentioned the timing of commencements and product mix for the revenue guidance change, how much should be U.S. Colo acquisition plan to that if I remember correctly last quarter you didn't include it and it was going to be worth a couple million bucks this year?
Jeff Finnin: Yes, Nick what we're seeing from U.S. Colo is obviously it's contributing some to our revenues and has played in part to some of what we're seeing with the results and ultimately guidance. To date, U.S Colo contributed about for the second quarter they contribute about a $1 million of revenue in the quarter and that gives you some idea in terms of its contribution.
Nick Del Deo: Okay, then your maybe one bigger picture question, do you guys have any interest in developing your own SDN offering the way I can access or is that not something that makes sense for you?
Paul Szurek: So there's lot of different flavors of how companies can service customer desire for more nimbleness and how they provision aspects of their network. We recently pushed through and upgrade our open cloud exchange which provides a lot of that functionality more options for customers a broader range of choices they can make a greater API integration to other platforms and that's a utility that we can continue to evolve to give customers more control and flexibility about have a provision both cloud and network.
Nick Del Deo: Okay, thank you.
Operator: Our next question comes from Sami Badri with Credit Suisse. Please go ahead.
Sami Badri: Hi, thank you for the question. Jeff, you made a comment earlier about 3Q, 2018 realizing higher power costs and I just want to understand what is driving that across your customer workloads and install bases like what is fundamentally happening around that time in the seasonality?
Paul Szurek: It's really not attributable to our customer workload. Sami it's really attributable to the rates that we receive from our power providers that's is something that happens every year due to the increased volumes of power consumption throughout the markets not just from data centers obviously just from the U.S. consumption in general and that's just very common we see it every year and it's about $0.01 to $0.02 per share in the third quarter is what we would consider to see?
Sami Badri: Got it and then the next question is more to do with how we should be thinking about modeling and the dividend and dividend growth rate over time and you've increased it now a couple times the last two years probably a little bit faster than what some people are already modeling should we think about modeling an adjustment like that payout ratio against the dividends like maybe like close maybe just give us an idea on how we should be doing is like how should we think about this in the next two years as far as like total dividend?
Paul Szurek: Yes, I think that the best way to look at that Sami as if you look at our payout ratio and just take the second quarter of 2018 and this is provided on page nine of our supplemental You can see that our payout is about 82% of our trailing 12 month FFO and it's about 91% of our trailing 12 month AFFO. I don't anticipate those increasing meaningfully there already at the fairly at the high level if they move it would be very at the margin at best, so what really is going to drive that growth is really growth in our cash flow which as we've talked in the past is really driven by what we define as cash flow that is distributable to our common equity holders, which is AFFO last nonrecurring capital. All of that's disclosed in the way in our supplemental but that's really the way we manage around our dividend increases is to monitor increases and CFDCE today and what we think it will do prospectively.
Sami Badri: Got it. Thank you.
Paul Szurek: You bet.
Operator: Our next question comes from Eric Rasmussen with Stifel. Please go ahead.
Eric Rasmussen: Yes, hi, thanks for taking the questions. So circling back with the permitting the patients seem to be slowing down but still kind of within the range but what has fundamentally changes it really just more of the supply and more deals kind of trying to be put through the system and then do you continue to see this as a headwind and are do you think that at some point things can free up a little bit and have a follow-up?
Paul Szurek: So honestly, I don't think there's any new news here within the ranges of what we said before and it's pretty typical for these types of permitting environments in fact I again I want to give credit to our development and construction team for being very proactive and getting us within the ranges that we've originally set, just to give you some historical perspective if you go back to VA2 which we built on land that we already own before we started the special exception, design and construction process we started that in early 2011 we're not able to bring new capacity on until the first quarter of 2015 so about four years, every project that we've got going on right now is tracking to about 50% of that timeline, so again not an unusual situation in many of these markets it just is what it is and it makes the asset more viable going forward.
Jeff Finnin: Eric, one thing that I will point out to just because I think it's important as you and others think about models for 2019 because obviously we've had three ground up developments that we're working as Paul alluded too another thing I think I would add as you saw we put us under construction this quarter and so we have better visibility into the timing we've disclosed that at this point as being sometime in Q3, 2019 as when we think will be completed with that first phase. As you think about the other two construction projects that we're working on LA3 and CH2 We've always said that we always thought LA3 would be expected to be completed by sometime in the back half of 2019. And we still expect it to be in late 2019 but as Paul alluded to subject to what happened on the permitting process as it relates to CH2 we've always been saying it sometime probably late 2019 early 2020 as we sit here today I think it's probably leaning towards more early 2020 before that would get completed again tracking towards the latter part of our original estimate, so just think about that fact of that and as you guys model 2019.
Eric Rasmussen: Thanks. That's helpful and then just around easy seems to be a lot of variability on your larger Colo deals. The prior two quarters, numbers were either were down or lower but then you've seen a meaningful improvement this quarter it speak to maybe that is it just the nature of this business can explain the variances and maybe your expectations for these larger deals?
Steve Smith: Yes, this is Steve that for you it is lumpy as you've seen in our results and I think we kind of call that out as the expectation both in prior calls as well as going forward. We do look to really be disciplined on how we approach that marketplace and make sure that those leases that we're signing on that larger scale are additive and complement our ecosystem, so there's a lot of hyperscale deals that are going on out there that are probably not a great fit for us. Given the economics that are associated with it and whether or not they value the ecosystem of our customers as well as networks and other on ramps and so making sure that we get those right customers and right deployments. Doesn't happen every day but there is still a good pipeline of those type of deployments that are out there.
Eric Rasmussen: Thank you.
Operator: Next question comes from John Peterson which Jefferies and Company. Please go ahead.
John Peterson: Great, thanks. So the pricing on new leases this quarter was a little below average from recent quarters but obviously you guys had one or two large scale deals I'm just kind of curious if you could break maybe out the different product types smaller leases, skill side leases. I mean how are rents trending and then maybe even a little more specifically on the scale side you seen rents trend on down like we're seeing with some of these like really huge hyper scale deals, how you guys usually plan?
Paul Szurek: So John, let me let me take a stab at that and Steve and Jeff can jump in it if I omit anything. We tried to give both space and power pricing because both components play into our business and with higher density step the power side of it actually tends to be more meaningful and as you saw from Steve's comments on a per kilowatt basis our pricing was 3%, the trailing twelve months. We don't break out pricing by market and by product because quite honestly that just gives away too much competitive information. But we do look at that internally and we feel good about where the trends are as Steve said it's up in some markets down and some others but overall it's up and as it relates to scale leasing, we tend to focus on those scale leasing opportunities that need to retail co-location ecosystem or the network ecosystem. There's more value to those types of scale opportunities in our data centers and so far we're seeing that pricing hold up pretty well although that does vary by market.
John Peterson: Okay, thank you. And then maybe a question for Jeff on the balance sheet, I mean, just thinking about your capital needs between now and the end of the year and maybe into 2019, I guess what sort of financing needs do you have I guess how does the preferred market look today versus maybe some unsecured debt and then also with the permit in process I guess slowing down some of these developments in LA, Santa Clara, and Chicago, does that kind of push out I guess your capital needs? And a little bit trying to think about how we should be modeling from that perspective?
Jeff Finnin: Sure. Yes, John, I think when you look at the guidance, we updated related to our CapEx spend, you can see the midpoint went up by about $20 million so kind of $295 million is what we are currently guiding to in terms of total CapEx spend. We spend $120 million in the first-half, which means you will see some acceleration spend in the second-half of the year upwards around $175 million, just given what our total liquidity is, I don't think we need to do anything from a financing perspective through the end of this year and so there is no need to do it. Having said that, it is something we watch closely to see whether or not there is any type of movements or changes in the markets that we might want to take advantage of. But as we sit here today if I had to bend, I would say I can't imagine doing something by the end of the year, it's probably be more of a first quarter maybe early Q2 2019 type of event unless something changes significantly from a pricing perspective that we might want to capture before the end of the year.
Paul Szurek: I would only add that given our low leverage, I don't think we would tap the preferred market.
Jonathan Atkin: All right, that's helpful. Thank you.
Operator: Our next question comes from Richard Choe with JP Morgan. Please go ahead.
Richard Choe: Hi, I wanted to ask about the churn event in 4Q, so far rental revenue has been growing on a dollar basis at a very nice rate, how should we think about the impact of that churn event and then going into '19, what the quarterly impact will be?
Jeff Finnin: Richard, let me see if I can address that and add any additional commentary. So we updated our guidance this quarter related to that particular churn event and just given some incremental visibility we have, we know that that particular customer is going to churn about 70 basis points of their deployment in the third quarter and we are estimating the remaining 130 basis points of churn in the fourth quarter. So I'm not sure I could add any more commentary associated with it beyond that other than to say that it's obviously a customer we continue to have conversations with and we will ultimately what they end up during the fourth quarter but at this point we are modeling as if they churn but we don't have perfect visibility into that as we sit here today.
Paul Szurek: And Richard that, even that it just puts our churn in our normal historical range year-b-year.
Richard Choe: Yes, I appreciate that Paul, I think we typically expect as though we are continuing to expect 6% to 8% churn for the full year of 2018.
Paul Szurek: And I guess just some added color I guess there relative to the churn of that customer. The churn that we do expect is on our stronger markets, so as far as the backfilling and more customers in there were bullish on that and optimistic.
Richard Choe: So can I take away from that that if the customer didn't churn, churn would be probably lower and as probably could be quickly backfilled?
Paul Szurek: I think that's a good way to look at it, yes.
Richard Choe: Thank you.
Operator: Our next question comes from Ari Klein from BMO Capital Markets. Please go ahead.
Ari Klein: Hi, thanks. Maybe just following up on that last question, what kind of interconnection footprint does that customer that's churning have? And then, maybe turning to the -- to the scale leasing opportunities, how does that compare to, how do the pipeline for that compare to maybe a year ago and do you expect that to continue to grow?
Paul Szurek: Yes, as far as the interconnection footprint typically on those larger leases we eventually have interconnection as less than you would see on a couple of smaller deployments where you look at it on our either per square footage basis or on a per kilowatt basis. I don't have the specifics in front of me and so that's individual customer, I'm not sure we will disclose that anyway, but not a material amount I guess it's probably the easiest way to put it in this great scheme of things is it relates to our interconnection landscape. As you think about scale leasing, as I mentioned before it's -- it is lumpy as far as the deals that we write, the overall pipeline is still very healthy as I mentioned earlier and the forecast as we look towards it is optimistic, it's just a matter of aligning those key deployments that also again value our ecosystem or looking to take advantage of it but also are willing to essential pay for it. There are some lower cost providers out there that don't offer that same value and if they are looking for just space, power and cooling and don't value that, it's probably not a great fit for us. So there is a lot of kilowatts that are being sold out there that's probably on a great fit for us and how we align that and be disciplined around our pricing and outfits and our ecosystem is the game we play. So overall we are optimistic and it looks possible.
Ari Klein: And regarding the extended development timelines, how should we think about CapEx into next year, can it be higher than 2018?
Paul Szurek: Yes, Ari, as you think about it typically when we have ground up development starts like what we would expect to see what LA3 in 2019 that's typically going to drive CapEx at the higher [technical difficulty] than we would normally see. Without giving you some specific numbers, I would just anticipate it. I wouldn't see it decreasing meaningfully from what we expect for this year, let's just say that. I would expect it to be a little bit elevated like what we saw again this year.
Ari Klein: Great. Thank you.
Operator: Next question comes from Lukas Hartwich with Green Street Advisors. Please go ahead.
Lukas Hartwich: Hi, guys. Just one from me as computing seems to kind of continue with positive momentum, what sort of opportunity do you think that presents for CoreSite?
Steve Smith: Yes, I will dive in on that one. This is Steve, I think it's a great opportunity for us and it continues to -- you continue to see innovation in the marketplace that just turn the new businesses into global players, traditional brick and mortar type of businesses are being put on their head and now being done in more electronic ways that require low latency and all those are being deployed at the edge, a lot of round artificial intelligence as well as the emergence of 5G on the mobile front all that leads to the critical need to improve speeds of the end-user which means edge computing. So we feel like we are well positioned for that because that requires interconnection and networks to make that happen and we feel like we have a great model and in terms of both the interconnection footprint that we have as well as the ability to support some of those kind of I would call like kind of mid scale type of deployments that are typically come along with us, those edge type of environments.
Lukas Hartwich: Okay. Thank you.
Operator: Our next question comes from Eric Luebchow with Wells Fargo. Please go ahead.
Eric Luebchow: Great, thanks. I will just ask one. I know you said last quarter you are operating it is slightly lower level of sellable inventory that you had historically, you could just update us on where you sit today, you inventory levels we look out towards the second-half to 2018 and whether I need potential capacity constraints could impact your ability to do continue your momentum with scale leasing over the course of the year? Thanks.
Paul Szurek: So the good news is that we've restored our sellable inventory to more normal levels. I think we ended the quarter with about 265,000 square feet, a sellable inventory, we actually have -- we completed so far this year a 147,000 square feet. We actually have 161,000 square feet of the initial phases of development in various stages of construction or development and in those buildings we could very quickly have another 167,000 square feet of capacity and we still have some capacity in other markets for expansion. So we feel like we are in good shape when you look back over the last two years, we were. We have one building under construction in July of 2016 and no new land for development and now we've got four projects under construction or in development on new land and all of them are proceeding to pay, so we feel like we've rebuilt the pipeline and although the timing related to permitting is not greatly predictable, it's a matter of short timing and once we get through that the new capacity will come on in a very regular pace.
Eric Luebchow: All right, thank you.
Operator: Thank you. I would like to turn the floor over to Paul Szurek for closing comments.
Paul Szurek: Thank you for joining us today. I do want to thank my colleagues for another solid quarter. We are all very fortunate to work with a talented group of people here at CoreSite. I also want to congratulate Steve and Maile Kaiser on their new roles of Chief Revenue Officer and Senior Vice President of Sales respectively, and thank them for taking all those larger roles. I look forward to seeing Steve and Maile can both further drive growth with their broader responsibilities. It is great that this exciting industry and our organizational ethos combine to enable us to provide these kinds of growth opportunities for our team. We look forward to the future. I hope you all have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time.